Operator: Good day everyone. Welcome to the Key Tronic Fourth Quarter Fiscal 2015 Conference. Today's call is being recorded. At this time, I would like to turn the conference over to Mr. Craig Gates, President and CEO. Please go ahead, sir.
Craig Gates: Good afternoon, everyone. I'm Craig Gates, President and Chief Executive Officer of Key Tronic. I'd like to thank everyone for joining us today for our investor conference call. Joining me here in our Spokane Valley headquarters is Brett Larsen, our new Chief Financial Officer. Today, we released our results for the fourth quarter and fiscal year 2015. During the year, despite slowdowns by some longstanding customers, we made significant progress from our new programs, expanding our customer base and extending our worldwide capabilities. Major event of the year was our acquisition and successful integration of Ayrshire Electronics. We see it as a one plus one equals three combination, which continues to make significant contributions to our progress in several ways. First, by acquiring Ayrshire’s printed circuit assembly capabilities, we expect to get an earlier look at new program opportunities. Ayrshire’s PCB customers tend to use Ayrshire’s U.S. plants for low volume or prototype products. And these types of products begin to ramp to high volume, we are ahead of the pack as our competitors are tempt to prepare a quote all lacking experience we have with the product. Second among Ayrshire’s many satisfied customers, we expect to retain more programs with volume, more transitioning to full product notes. In the past, many of Ayrshire’s maturing programs with increasing volumes were lost to competitors with offshore facilities. Now we are very encouraged to see many of these programs remaining with Key Tronic’s. This is because customers seize many advantages associated with simply migrating a maturing program for one of Key Tronic’s sites onshore to another Key Tronic’s site offshore. Third, the combination has given us much more diverse and stronger foundation for growth. Ayrshire built an extensive and superb list of very loyal customers largely because of the acquisition, our total annual revenue has increased 42% to $424 million and our total number of customers more than doubled in fiscal 2015. Our top five customers represented approximately 42% of our total annual revenue at the end of fiscal year 2015 compared to about 62% year ago. Our broader and more diversified customer base significantly lowers the potential risk and impact of a slowdown by anyone customer. At the same time we’re continue to expand our customer portfolio across any - range of industries with the new programs in the fourth quarter involving home building products, material handling systems and light equipment. Looking ahead, we continued to see robust pipeline of potential new business. Throughout the year our revenue and earnings were impacted by the timing orders from certain long-standing customers while our new programs continued to ramp up. Moreover, we are also managing the challenge of our success in the short term, we have many new programs in the process of on boarding and several more are near on the end of the design moving towards the production stage. Getting all this new business up in running does impact our expense line in advance in revenue. In the fourth quarter however we saw moderation and decline of a long standing programs expect to see continued sequential improvement in our operating efficiencies in the first quarter. Entering fiscal 2016 as our new programs new into production and ramp up we expect to see increasing revenue and earnings as, we recently announced the appointment Brett as our new Chief Financial Officer. We replaced Ron Klawitter who is retiring after serving with Key Tronic's since 1992 on behalf of the entire company we want to thank Ron for his many years of outstanding service and for his key role and helping guides us through our transition from an OEM to a leading provider of electronic manufacturing services. We’re very pleased that we continued to serve our board of directors. The most fortunate to have somewhat in flexibility and knowledge of the company to replace Ron. He has worked Key Tronic for ten years and he has most recently served as our Vice President of Finance and controller since February 2010. Previously he also served as a Chief Financial Officer of a multinational heavy equipment company and has held various manager and supervisor roles with [indiscernible]. Now I would like to turn the call over to Brett to review our financial performance then I come back to discuss our strategy going forward. Brett?
Brett Larsen: Thanks Craig for the kind introduction. I’d also like to express my thanks to Ron for his many years of leadership and mentoring. We all wish him a happy retirement in the - to his continued contribution as a board member. As always I would like to remind you that during the course of this call we might need projections or other forward looking statements regarding future events where the company’s future financial performance. Please remember that such statements are only predictions. Actual events or results may differ materially. For more information, you may review the risk factors outlined in the documents that the company has filed with the SEC, specifically our latest 10-K, quarterly 10-Qs, and 8-Ks. Please note that on this call we will discuss historical financial and other statistical information regarding our business and operations. Some of this information is included in today's press release and a recorded version of this call will be available on our website. For the quarter and year ended June 27, 2015 our results were in line with our previous guidance. For the fourth quarter of our fiscal year 2015 we reported total revenue of a $120.4 million up 67% from $72.1 million in the same period of fiscal year 2014 results for the fourth quarter of fiscal year 2015 included approximately $37 million in revenue from Ayrshire Electronics, which was acquired on September 3, 2014. For the full fiscal year of 2015 total revenue was $434 million up 42% from $305.4 million for fiscal year 2014. As Craig said we’re pleased to see Ayrshire operations and the continued ramp of new programs contributing to our growth. For the fourth quarter of fiscal year 2015 gross margin was 9% comparable to the same period of fiscal year 2014. For the full year of fiscal year 2015 gross margin was 8% and operating margin was 2% compared to 9% and 3% respectively for the fiscal year 2014. Over the longer term, we expect our gross margin to gradually improve and move into the 9% to 10% range. Our total operating expenses were $7.1 million in the fourth quarter of fiscal 2015 up 61% from the same period last year but only 3% sequentially from the prior quarter. The year-over-year increase primarily reflects the addition of Ayrshire’s operations and our preparations for growth in coming periods. For the fourth quarter of fiscal year 2015, our operating margin was 3% comparable to the same period of fiscal year 2014. For the full year of fiscal 2015, our increased operating expenses has slightly lower gross margins in our target range resulted in an operating margin of around 2% compared to 3% in fiscal 2014. Over the longer term, we expect increasing operating margin and profitability. Net income for the fourth quarter of fiscal year 2015 was $2.3 million or $0.21 per diluted share, up from $1.4 million or $0.12 per diluted share for the same period of fiscal year 2014. Results for the fourth quarter of fiscal year 2015 include tax credits for research and development activities of approximately $500,000 or $0.04 per diluted share. For the full fiscal year 2015, net income was $4.3 million or $0.38 per diluted share compared to $7.6 million or $0.67 per diluted share for the same period of fiscal year 2014. Turing to the balance sheet, we have continued to maintain a strong financial position. Our inventory was $91.6 million, up $13.6 million from the previous quarter reflecting our preparations for growth in coming periods and some production delays in one new program. In coming periods, we expect our inventory levels to decline. Our trade receivables were $72.9 million at the end of fourth quarter, up $3.2 million from the previous quarter. Our consolidated days sales outstanding remained steady at about 50 days. Now we would expect that our DSOs will remain at this level. You will recall that we completed the acquisition of Ayrshire in the first quarter using about $5 million from cash on hand, $35 million from a new term loan and $9 million from a line of credit on the purchase price. During the fourth quarter, we reduced the balance in our line of credit and term loan by $1.1 million combined. Despite the significant use of working capital for inventory. In the first quarter, we expect to draw additional cash for working capital from our line of credit, which we recently extended to a $45 million capacity. Over the long term however, we expect to continue to pay down both the line of credit and the term loan. Our capital expenditures for the fourth quarter of fiscal 2015 were approximately $1.7 million as we continue to expand our sheet metal fabrication plastic injection molding and electrical assembly capabilities. For the fiscal year, our CapEx was $8.8 million. Moving into the first quarter of fiscal 2016, we anticipate more of our new customer programs moving into production and ramping up taking new factors into consideration we anticipate that the first quarter of fiscal 2016 will have a revenue in the range of $122 million to $130 million. We expect our gross margin to be on a historic target of around 9% in the first quarter. We also expect some increases in operating expenses taking news factors into consideration we expect earnings in the range of $0.17 to $0.24 per share for the first quarter. This expected earnings range assumes an effective tax rate of 35%. In summary, we expect to see continued revenue and earnings growth in the first quarter. Overall the financial health of the company is excellent, and we believe that we are well positioned to continue to profitably expand our business over the longer term. That’s from me. Craig?
Craig Gates: Okay. Thanks, Brett. We continue to believe our fundamental strategy remain solid from our perspective slowdowns by certain longstanding customers in fiscal 2015 masked the production of several new customers. Moreover we’re very encouraged by the potential of our many new programs being onboarded and the positive impact of our recent acquisitions. Entering fiscal 2016, we’ll continue to win new business as we’ve discussed before, we have three long-term major competitive advantages. First the increasing cost in China are driving demand for more localized production, Mexico to North American end users and China for Asian end users. Among EMS providers, we standalone in the excellence in breadth of our Mexican operations, as more previously outsourced manufacturing business news back from China, we stand to continue to benefit. Second, our unique organizational structure which has been honed over years of experienced in running geographically diverse operations, beyond the level of cost and service we can provide from our Mexico and China based facilities, we offer U.S. based engineering and prototyping with an exceptional level of offshore experience. Our growing portfolio of customers increasingly went offshore cost savings but without the risk of managing offshore relationship schedules, inventory uncertainty or IP loss. Third, we offer a broader range of capabilities in manufacturing footprint when competitors outsized. There is a real - industry which is broadly accepted by CM customers, it addresses the fundamental compatibility of both customer CM matchup and states that the customer’s revenue with the CM should be between 5% to 15% of the CM’s total program revenue. Many potential customer programs in our market match the rule of thumb sweet spot of 5% to 15% of our total revenue full production. Yet we are not aware of the providers of our size are offering offshore regional and worldwide manufacturing, mechanical, electrical engineering, plastic molding, sheet metal fabrication, U.S. based program management and testing and development and optimized global logistics and purchasing. In order to get our comprehensive level of capabilities the next CM option from our customer in our sweet spot is multibillion dollar contract manufacturers choosing that option in violation of rule of thumb means the customers programs commands a very small portion of the CM providers total revenue and detention. Our advantageous size to capabilities matchup has powered us for years and we continue to carefully and deliberately enhance it over time - assembly, China assembly, Spokane program management, [indiscernible] molding, El Paso logistics, PCA, Sabre’s metal acquisition, Ayrshire’s regional and running PCA acquisition, mechanical design, electrical design, test engineering, Spokane tool design and fabrication, product repair services, China purchasing these ingredients have been added to our powerful and unique mix via home loan expansion and more recently the acquisitions. Furthermore our size the capabilities mix makes our customer relationships much more sticky. As we work with our customers in transferring existing products to our facilities or in design, prototyping and ramping new product for them multiple functions within the customers organizations discovered the breadth of our capabilities. As a result, our companies with them deeply and profoundly - in many cases we become the virtual VP of Operations for the customers. Over the longer term, EMS market is expected to see steady growth, while periodic fluctuations in large customer demand, mix changes in our program portfolio and cost associated with onboarding new programs would continue to be part of our business, we believe our sustained focus on controlling costs, augmenting production processes and enhancing our capabilities will result in increasing competitive advantage. We see more of our new customer programs moving into production ramping up and our pipeline of new business opportunities looks increasingly robust. As we get the integration of Ayrshire successfully behind us, we believe Key Tronic is increasingly well positioned to grow profitably, capture market share and capitalize on emerging opportunities. I want to take this opportunity to express my gratitude to our employees for their dedication and hard work during this past year to our valued customers who continue to honor us with their trust and to our shareholders for their continuing support. This concludes the formal portion of our presentation. Brett and I will now be pleased to answer your questions.
Operator: Thank you [Operator Instructions] we’ll go first to Andrew Huang with B. Riley.
Andrew Huang: Thanks for taking my question. I’ve couple questions. I think over the past year you’ve been negatively impacted by a significant decline with two major customers so, I was wondering if you could give us an update where we are with each of those two customers and then the likelihood of further downside from either one of them.
Craig Gates: Well, if I talk about customer number A, letter A their decline has stopped and we believe they’re starting to turn the trend around and head back up beyond their improvement in their overall business we won two new major programs with them in the last couple, I don’t know 4, 6 months so I think the future with him is looking pretty good. Customer B, I think has hit a steady state at a lower level we will see within the next couple months if a new program that we spent a lot of money and time launching with them reforms even half of that is expects things will be much brighter on that front too so that’s all I can tell you about those two customers.
Andrew Huang: Okay and then I think in your prepared remarks you talked about inventory builds partially due to production delays with one customer has that problem been fixed and have you included that revenue in the September quarter guidance?
Craig Gates: So the revenue was always there and the issue was how much more could we have gotten if we had solve the technical issues associated with the launch so the revenue that we have in the upcoming quarter guidance assumes that we continue to build that the right we’re building and we’ll see what we can do in terms of getting the yield - we need another 5 or 6 points out of the yields to get it where we wanted to be we got some results in the last couple of days, there some experience within running that our pretty hardening so hopefully was continue to hold through.
Andrew Huang: Okay and I’ll ask one more then get back in the queue. I think last quarter you talked about three different programs ramping in Mexico may be you could give us a brief update on each of the three?
Craig Gates: Well, one is when we talked about it still needs some yields improvements and the other program we had fully ramped, we suffered a bit more in the first month of this quarter and we’re pretty much through the pain of that, the third one is gone off pretty much spectacularly with no issues whatsoever so we’ve gotten about I don’t know 420.
Andrew Huang: I thought you that. Thanks very much.
Operator: [Operator Instructions] We’ll move on to Bill Dezellem with Tieton Capital
Bill Dezellem: Thank you. Group of questions first of all the three programs that you did when, would you give us he typical revenue range as you have in the past for those three programs?
Craig Gates: I have $25 million.
Bill Dezellem: For waiting for you say $15 million to $50 million at some point.
Craig Gates: Keep asking the point - I would like to point out this juncture build, they only took me 6.5 years as CEO get them to get your name and company name pronounce correctly so I apologize we finally got there.
Bill Dezellem: Well, it shows that good after eventually pay off. And may be that range, you really started to answer the question that I was wondering with the prior question and you got the nice ramps taking place with your new customers or new program but if you look at the rest of the business not just the two largest that have given you trouble but the rest of the business in aggregate how are you viewing that and I’m trying to in mind really grasp where the business goes not just next quarter would you provide a guidance for that but conceptually the remainder of the year so having ask that along with the question may be you understand the kind of concept behind it and can provide some meat around that, please.
Brett Larsen: Well, I understand the concept behind it. So what I got to try to do is give you a concept without giving a forecast.
Bill Dezellem: I would accept a forecast if that would be easier.
Brett Larsen: Yes. It would be easier but it wouldn’t be good, wouldn’t be good for me to do. So let’s try to do it this way. Existing customer base that we have which has gotten a bit bigger that the acquisition looks to be healthy, I don’t know of any place where there are significant stresses on customer relationships and I don’t see any forecasts from current customers that are showing any big problems. So I think the base is pretty solid, other than the one guy I talked about was the first questionnaire. So that part of it looks pretty good. The outlook that we got from customers that we currency are onboarding looks pretty good and in general I don’t see any significant risk right now based on what our customer is telling us, that can change in a moment as you know in this business. But right now things are pretty [indiscernible].
Bill Dezellem: And that customer that you mentioned earlier is that you put the qualifier in if we heard you correctly that customer you believe the revenues have flattened and depending on what happens with a new product that they are introducing, that will either kind of stay bump in a long here or could actually turn favorably for you.
Brett Larsen: Yes. It’s a good summary.
Bill Dezellem: Okay. I just want to make sure that we’re characterizing that right. So if the base business is solid at this point and you continue to ramp new customers, it sounds like, I think we kind of talked about this on the last call, you are really feeling like you have some sequential revenue in earnings growth for the foreseeable future. I’m not trying to make that into an official forecast but just [indiscernible] that’s how it appears right now.
Brett Larsen: Well, anything I say, it turns into a forecast so I don’t know how to answer that, other than that we are feeling pretty good about the future.
Bill Dezellem: Was there anything I just said that seems like that is off base or that missing directionally something?
Brett Larsen: Come on, Bill.
Bill Dezellem: I figure that right. Let’s jump Ayrshire, the concept that you mentioned both in the prepared remarks and in the press release I believe about those Ayrshire customers awarding you new business, would you talk a little more around that and maybe give us some examples that would highlight the success there?
Brett Larsen: Sure. So one of the customers before we had actually consummated the deal with Ayrshire, was a customer of both companies. And not a large customer but a reasonably large customer both that companies, like all this is said hey, we are about to outsource a lot more business and our COO is a long time veteran of contract manufacturing world and he has given us a list of 20 characteristics that only you and one of the person meet, the entire universe of contract manufacturers. And with that, so what’s on the list and the guy went through basically our sales pitch, he said my boss wants to have somebody’s offshore facility but it’s owned and managed onshore, my boss wants to have somebody who has every possible major fabrication and assembly capability in-house rather than having the source of outhouse. My boss wants us to find a contract manufacturer that’s over $0.5 billion but under $2 billion. So we can match up with the rule of thumb and he just went down the list and it was just [indiscernible] and he said, I couldn’t call you before because you won over $0.5 billion in revenue. But when you guys buy Ayrshire you just have to sneak in that range or little bit below at close enough that we can allow you to quote and since it’s only two years that even match I feel pretty confident you will get a chunk of this business and that has indeed turned out to be the case. So that’s a pretty good example of one that happened even before we closed the deal and the details of all the one plus one equals three stuff is going on little bit different in every case. But they’re pretty much along those lines or the other I guess predominant example would be a customer who has got a new product, he had - examples customers building it in Mississippi brand new products doing pretty well but some huge contracts for them on the horizon that we’re going to demand since significant price decreases on high volume, low mix examples of that product. In order to keep that business [indiscernible] by itself and Ayrshire by themselves would have had to lost money on the business to be competitive. But whereas in our capabilities we were able to quote on high volume business and won it, and transition it and it’s already up and running in Mexico and ramping very quickly. If we had been just coding out from the outside looking in without any of the benefit we had from corn knowing we had to build with, knowing what it cost to build, knowing it is affordable so that we knew where to take exceptions to the - like our competitors had more or less stood in the dark, we would not have won that business, we will remain on that business and it’s certainly wouldn’t have gone as quickly as it did. So those are I think the basically the two predominant examples of what is going on with one plus one equals three either our new size makes us eligible for programs that we got to look at or the contacts and experience that Ayrshire had or has have allowed us to leapfrog what our competitors can quote or provide as that business gets bigger.
Bill Dezellem: That’s really helpful, I would like to circle back to that first example if we could please given that you said began before the transaction even closed, so we’re really one year later, would you bring us the speed as to what has now developed and I realized some of these things can be very slow to develop even when they are moving at what supposed to fast speed but what has actually happened with that perspective situation?
Brett Larsen: Well just about to go into production with the first piece of business out of that and then over the next two years program after program after program we will land. So this will be a long burn but it is going to be a big…
Bill Dezellem: How big?
Brett Larsen: I don’t know.
Bill Dezellem: But it’s a sort of thing that will add some consistency to the revenue ramp going forward?
Brett Larsen: Yes it’s an underlying percentage gain every quarter that seems to be something we can count on instead having to go dig a new one out from under a rock. As long as we perform on each program, they will keep giving them to us.
Bill Dezellem: And actually that’s a great segway to something that I’ve been - we’ve kind of been battling within our minds here is that as you had this bucket of new business develop and as your existing basis now stabilized, how much visibility are you feeling like you have into these new program ramps, it’s sounding as though you have more visibility into the consistency of the future ramps and maybe you have in the future in part because of this one slow burn example that you’re giving but then the large number of other ramps that are taking place. So even if you have some slippage in one, it might have pull on another and net-net you end up with a reasonably consistent level of visibility but how you’re seeing it?
Brett Larsen: It’s pretty good summary when there is more that are going on, you are not dependent on just one or two that actually happens kind of an ironic and irritating thing that happened in the last quarter, beginning of this quarter is that have gotten more or less calibrated to being disappointed by many of our new customers. So I had held off in buying a couple more S&G lines for whereas because I wasn’t convinced that this stuff that was supposed to happen was actually going to happen as quickly as it was side it was going happen because never has in the past it always takes longer and sure enough of the things came in and came in as fast they’re suppose to we got caught with little bit of [indiscernible] and capacity and or as over the end of last quarter and that actually grow some increases in cost as we had to work their shift then we had to hire extra people. We had to really try to schedule things tightly because we never want to be at 100% capacity in our fabrication departments and we were in fact on the day but we just added two new lines once coming up tomorrow and once becoming up in about a month. So that increasing speed, made the typical of the new Key Tronic or may have just been a blip, I’m not sure but certainly having more ramps to based on a numbers on makes a less way to worry about what’s going to happen one individual ramp.
Bill Dezellem: And then one additional question before I step back if I made please just doing the math without Ayrshire your revenues on the original Key Tronic were up about 15% is that reasonable number to be thinking about on a go forward basis or should we be thinking about skewing that some different direction because of this part of amount of ramp that you have to taking place.
Craig Gates: Well, sir my name is Craig Gates and my serial number is this and I going to get into trying to talk about forecast for the going out quarter even if you break it down in the different segments.
Bill Dezellem: Okay, I mean actually we’ll come back Ayrshire and so the core Key Tronic or original Key Tronic was up roughly 15 with what about Ayrshire’s as we don’t have that June quarter number, what was their revenue up versus their comparable?
Craig Gates: Well, we kindly loss the ability to talk about old Ayrshire and new Ayrshire because we close the [indiscernible] facility and moved programs on - into whereas with moved some programs for more as to some of the Ayrshire facilities and so I’m kindly given and up on trying to track exactly what I would call Ayrshire revenue versus the Ayrshire revenue today there is too much movement.
Brett Larsen: Yes, Bill its harder and harder try to track those distinctively different revenue streams, we have got even legacy customers that are now being built at Ayrshire locations so really it’s gone - through actions.
Bill Dezellem: Do you have the number of I guess to be the June quarter of 14 Ayrshire’s revenue?
Craig Gates: Yes in June.
Brett Larsen: That was $30 million.
Bill Dezellem: Okay, so they were up somewhere in the over 20% range if we assume that $37 million was roughly what they did this quarter?
Craig Gates: Yes.
Bill Dezellem: Yep, this is taken 37 on top of the 30s kind of that - way to think about.
Craig Gates: That’s reasonable you got.
Bill Dezellem: Okay and I will do my best to not ask you a question like that in the, in future quarters of this focus on future forecast.
Craig Gates: Thank you. Appreciate that.
Bill Dezellem: Alright, thank you both for your time and good luck getting all these ramps put together it’s like were right on the edges coming together.
Craig Gates: Hope so. Thank you, Bill.
Brett Larsen: Thanks Bill.
Bill Dezellem: Thank you.
Operator: [Operator Instructions] We’ll take the follow up Andrew Huang with B. Riley.
Andrew Huang: Thank you. First I guess there are lot of concerns out there on mobile phones in China so I know you don’t have any mobile phone exposure but may be you could elaborate on your China demand exposure?
Craig Gates: China demand exposure is very minimal.
Andrew Huang: Okay, would you say it’s less that 5%.
Craig Gates: Sorry about that - Middle West and Illinois answer..
Brett Larsen: It’s approaching zero. Yes.
Andrew Huang: Okay. Thank you. For your annual results, you typically give the sales by end market, do you have that ready yet or is it a little early?
Brett Larsen: No. We don’t have that ready. We only do that to make you guys happy, it means almost nothing to us. It’s all about customer rather than market by market.
Andrew Huang: Okay. And then, do you have 10% customers for the full year?
Brett Larsen: 10% customers for the full year, hang on. You are putting stress on our new CFOs.
Craig Gates: Just a second, Andrew.
Andrew Huang: Sure.
Craig Gates: So for the fiscal year we have only one customer in excess of 10%.
Andrew Huang: Okay. Thank you for that percentages.
Craig Gates: It was 17%.
Andrew Huang: Okay. And then I know you’ve put out kind of a long term targets for gross margin in the range of 9% to 11%, and then operating margins in the range of 4% to 7%, but I’m just curious, are you able to give us a target exiting fiscal ’16 or would you not want to do that.
Craig Gates: I don’t think we won’t do that, Andrew, similar to what Craig mentioned, we hate to do a long term forecast, we will put together an update to our investor presentation shortly. We on a long term to reiterate our target is 9% to 10% gross margin.
Andrew Huang: Great. Okay. How about for the full year, could you comment on expected tax rate and CapEx and depreciation and amortization.
Craig Gates: Sure. So again those each individually income tax rate, we’re expecting somewhere around 33% to 35%. We have exhausted our put back into R&D credit. So we are expecting somewhere in the neighborhood of 34% again from tax rate. As far as CapEx we plan to probably compete CapEx that we had in fiscal ’15. We should be somewhere between $8 million, $9 million of overall CapEx. As Craig mentioned some of that is already in the pipeline and two-thirds of that CapEx [indiscernible] to be invested in this first quarter.
Andrew Huang: I’m sorry two-thirds of the $8 million, $9 million will occur in the September quarter.
Craig Gates: That’s correct.
Andrew Huang: Okay. And depreciation and amortization, please.
Craig Gates: Depreciation and amortization is $1.5 million per quarter combined.
Andrew Huang: Perfect. Thanks very much.
Craig Gates: Thanks, Andrew.
Operator: And gentlemen, at this time - actually we do have a follow-up from Bill, please go ahead, Bill.
Bill Dezellem: Thank you very much. I actually want to follow up on that last point about CapEx and having two-thirds of it occurring this quarter, is that in preparation for not just the issues you talked about, [indiscernible] if you are trying to play catch up but also for the anticipated ramp and to what degree could you find yourself out two or three quarters and need more CapEx because the ramps are moving along faster than what you are anticipating?
Craig Gates: That’s pretty good question. And the answer is yes, you are right. So we could easily see ourselves having to double that CapEx if we get a number of new programs landing as they possibly could.
Bill Dezellem: And when do you feel like you will know and have more clarity on that issue?
Craig Gates: As we go. I never know.
Bill Dezellem: Okay. It’s not a case where you have one or two distinctive events that will lead to that decision as much as it is and amalgamation of multiple smaller events.
Craig Gates: Could be. Small events could be a couple of really big ones, equivalent lead time is under 90 days now. We’ve had no problem by new government and we got no problem trying to use the equipment out on the market, so we’re not getting very worried about trying to figure out when we need to buy equipment, very much before we actually win the piece of business that we’re about to win.
Bill Dezellem: So you are in the fortunate position where you can be reactive and not put yourself behind [indiscernible] basically?
Brett Larsen: Yep. As long as I follow my rule which I broke, which is never get more than about 65% in either of The fab departments we are in good shape.
Bill Dezellem: Great, that is helpful and then I actually do have one more question that I would like to throw out just to help understand this September quarter and your guidance, last quarter meaning the June quarter you had roughly a $10 million revenue range with your guidance and this quarter you reduced that down to about an $8 million revenue range and yet the EPS range widened by a $0.01 and I maybe splitting here but I am curious of the thought process and what some of the swing factors are in that?
Brett Larsen: Well I think, I would say that that 70% you are over analyzing it and I would say 30% of that is we’re little bit more confident in the revenue number and we’re little bit less confident in how fast we’re going to get this yield if you fix and how well a couple of these ramps are going to go.
Bill Dezellem: Excellent. So well the 70% overanalyzing - understand that yield us little better, I did not appreciate that is coming in. So thank you.
Brett Larsen: Okay. End of Q&A
Operator: And gentlemen at this time we will turn the conference back to you all for closing remarks.
Craig Gates: Okay. Well thanks to everybody for participating in today’s conference call. We look forward to speaking with you again next time got to be a little bit less sweaty and we thank you and have a good day.
Operator: And that does conclude today’s conference. Thank you all for joining us.